Holly Schoenfeldt: Hello everyone and welcome to today's webcast reviewing HIVE Blockchain Technologies Financial Results for the quarter ended June 30, 2022.
 On Slide #2, I would like to briefly note disclosures. Except for statements of historical fact, this presentation contains forward-looking information within the meaning of the applicable Canadian and U.S. securities regulations. These forward-looking statements are based on expectations, estimates and assumptions as of the date of this presentation.
 Moving on to Slide #3. And on the next slide that before we jump into the full presentation, this is a visual that we like to include in all of our presentations called the DNA of volatility which just basically makes investors aware of the volatility of various asset classes. And as you can see here, HIVE and the cryptocurrency markets in general are historically more volatile than, say, the S&P 500 or the gold market.
 I would like to introduce today's presenters. Frank Holmes, Executive Chairman; Darcy Daubaras, Chief Financial Officer; and Aydin Kilic, President and COO.
 Moving on to Slide #4. I would like to hand the presentation over to CFO, Darcy Daubaras for a snapshot of growth. Darcy? 
Darcy Daubaras: Great. Thank you very much, Holly, and welcome to all of our shareholders and investors. It's been a very tough quarter for the whole industry, and we're wanting to give you guys an update on how we did because we think we've done fairly well compared to the rest of the industry. This is just taking a look at our earnings. And how things are put together on a financial statement point of view. We take a look at our operational earnings, which is our cash flow operations, and then we take a look at our investment earnings. Those are realized cash flows and the unrealized things, which are the things that can greatly swing on earnings of a company either higher or lower depending on how that quarter went.
 The next slide, please. Two of those things that are the noncash and mark-to-market charges that can greatly swing what happens in the company's earnings, mark-to-market in accounting is something -- it's a practice that involves adjusting the value of an asset to reflect its value as determined by the current market conditions, which we all know have not been great during this most recent quarter, that's taking a look at what a company would get for the asset if it was sold at that point in time, so that's external market prices or posted prices within the industry for cryptocurrency or for an asset like a minor if you're having to value it.
 The other thing is the noncash charges. These are taking a look at things for write-downs or accounting expenses. It doesn't involve a cash payment. These are items like depreciation, amortization, stock-based compensation and asset impairments are common noncash charges that reduce our earnings but not cash flows. Usually, what we do is we take a look at this back them out when we're looking at earnings to try to normalize it to compare company to company.
 Next slide, please. As you can see, our cash position stood at $4 million at June 30, 2022, along with additional $71.4 million in digital currencies, vast majority of that Bitcoin and Ethereum. We also have $7.7 million in amounts receivable and prepaids. The market value of our strategic investments fell during the quarter as a result of the general market instability, but remains strong at $7.9 million.  And as you can see, we're maintaining a strong net cash position and healthy working capital to fund our operations and continued growth.
 Turning to the next slide. Our gross mining margin, which equates to our revenues minus direct operating and maintenance costs decreased in absolute dollars to $27 million in the most recent quarter compared to $32.8 million in the prior year comparative. Gross mining margin is also partially dependent on various external network factors, including mining difficulty, the amount of digital currency rewards that miners receive and the market price of the digital currencies at the time of mining. This most recent Q1 that's completed June 30, 2022, we are reporting a loss of $1.16 per share compared to a net income of $0.30 per share reported in Q1 of last year. 
 Taking a look at HIVE by the numbers on the next slide. Just taking a look at our increase in our Exahash BTC mining quarter-over-quarter compared to March of 2022. And as you can see, our active Bitcoin hashrate has increased by 13% and along with our Ethereum hashrate increasing by 3%. This is continued growth that we have experienced over time as we're building up and maximizing our facilities in Europe and also in Canada.
 The next slide, please. Taking a look at the Ethereum that's been mined year-over-year, you can see that in Q1 of last year, fiscal 2022, we mined 9,701 Ethereum. It has dropped in this most recent quarter to 7,675. This is as a result of the continuing increased difficulty rate that is being experienced throughout the Ethereum ecosystem.
 Next slide, please. This takes a look again, looking at the last 4 quarters. And as you can see, each quarter, we're seeing some variability, but a bit of a downward trend on the Ethereum that has been mined with a little bit of a push up in this last quarter. And you can see on the line graph, the effect of the difficulty that has taken place over the last year.  
 Next slide, please. Taking a look at our year-over-year revenue, we generated revenue from digital currency mining in the first quarter of this most recent completed fiscal 2023 of $44.2 million versus $39.0 million in the prior year first quarter. The increase in revenues versus the same quarter in fiscal 2022 was due to an increase in the production of Bitcoin which we will see later, it increased to 821 from 226 in the prior year, and this is driven by our acquisition of the 2 Bitcoin mining data centers in Canada. This was additionally bolstered by the revenues driven by the Ethereum mining that took place in the most recent quarter, which we just talked about where the mining number of coins mined fell a tiny bit.
 As mentioned previously, our gross mining margin, which equates to our revenues minus direct operating and maintenance costs decreased in absolute dollars to $27 million in the most recent quarter compared to $32.8 million in the prior year comparative. 
 Next slide, please. Comparing our current fiscal Q1 quarter to the previous -- just completed Q4 of March 31, we generated revenue from digital currency mining of $44.2 million versus $49.8 million in the previous quarter. The decrease in revenues versus the prior quarter was impacted significantly by the incredibly low prices of Bitcoin and Ethereum experienced in this most recent quarter as we continue as the rest of our peers to experience this challenging bear market. Our gross mining margin decreased -- or sorry, increased in absolute dollars to $27 million compared to $22.9 million in the prior year comparative.
 Turning to Slide 14. Our adjusted EBITDA decreased in the first quarter of fiscal 2023 to $11.2 million versus $25.8 million in the prior year comparative quarter. I will highlight as the CFO, the gross mining margin and adjusted EBITDA, which we're talking about here are non-IFRS figures. The first quarter of fiscal 2023, we experienced a loss of $95.3 million compared to a net income of $23.5 million in the prior year comparative. This decrease was driven predominantly by noncash mark-to-market charges as I had explained earlier and defined. The largest during this quarter being a revaluation of digital currencies of $72.2 million, which had a negative effect on our net income, bringing it down. And also during the quarter, we had an impairment on minor equipment and deposits of $11 million. This was due to some equipment that was slow and coming out of China and doing a mark-to-market evaluation of what the market would pay for those miners at this time under accounting policies we had to take an impairment. And this is based on new information that has come to light in the last couple of weeks since we've reported our year-end figures.
 Next slide, please. Taking a look at the financial metrics here. Our adjusted EBITDA looking quarter-over-quarter Q4 last year versus Q1 this year is $11.2 million versus the $11.8 million in the prior quarter. Again, highlighting the gross mining margin and adjusted EBITDA are non-IFRS figures in the first -- in this most recent quarter, we had a loss of $95.3 million compared to the $34 million in the prior quarter. As we can see, our gross mining margin has increased quarter-over-quarter to $27 million from the $22.9 million experienced in the last quarter.
 Next one, please. And now I'd like to turn it over to our President and Chief Operating Officer, Aydin Kilic, for an operational update. 
Aydin Kilic: Thank you, Darcy, for the introduction, and it has been quite a quarter. I think that HIVE has done an exceptional job navigating what some may call a crypto storm. And so I'm going to jump right into the numbers. So looking at our performance through an operational lens, here's a recap of our monthly production for Q1 2023, our fiscal period. And so you could actually see here, we've got our production amongst all of our industry peers for April, May and June. And so what we've done is we report this on a monthly basis, and it is all based on public disclosure of monthly production reports from every crypto miner, you could see the total hashrate, the total Bitcoin produced and then the Bitcoin for Exahash. And you can see every month this quarter, HIVE has emerged as the most efficient in terms of Bitcoin per Exahash crypto miner. And getting into that 130 range when none of our peers were doing that, and this is because we have the best uptime. This is because we have the best uptime in the sector. And I've mentioned this before, it's really important to emphasize, as this industry scales to industrial and civic grades of infrastructure. People have to monitor their own substations, maybe they're behind the grid. There's a big part of this is energy management, and there's a lot of feet that's produced and you've got thousands and thousands of miners tens of thousands even.
 And so it's very different managing a 2 or a 10-megawatt operation versus a globally diversified 130-megawatt operation like a company like HIVE. So when we're talking about getting $27 million of gross mining margin or $44 million, either all U.S. figures, of course, of revenue given the hashrate that we have, it's because of our incredible uptime, which is really the unsung heroes of HIVE, all of our technical staff at our data centers globally and of course, the executives that were so close to them on a daily basis.
 Next slide, please. Now I'm going to give you a more current update for July. And you could see that we've done 465 Bitcoin in this month equivalent. That's comprised of about 280 Bitcoin and almost 3,000 Ethereum. 465 Bitcoin in July is 15 Bitcoin produced per day on average. Now when you look at that last quarter, we did an equivalent of 1,338 Bitcoin in 91 days. So in all of Q1, we did an average of 14.7 Bitcoin a day and continuing on that strong momentum. HIVE is now doing 15 Bitcoin a day on average.
 So this is a virtue of us having that great uptime. We actually use a peak Exahash equivalent of 3.77 in July, which was fantastic and that's comprised of almost 2.3 Exahash of Bitcoin and about 6.5 terahash of Ethereum mining. Now in the summer with the extreme heat, and this applies to any facility, whether it's in Texas or Sweden or Canada, of course, HIVE is in Canada, Iceland, Sweden. You tend to -- you don't run as many miners when you got those peak summer temperatures. And so what we've actually brought is an average hashrate for the whole month of 3.36 Exahash, but we managed to hit some peaks. And also in our strategy to optimize our profit, where we have some variable pricing in New Brunswick, we strategically very [indiscernible] so we can mine in the most profitable manner possible. And again, it's showing up as having a fantastic 61% gross mining margin in a quarter where we saw Bitcoin capitulate to the $20,000 range. So this is why we see the variance in peak and average hashrates during the month.
 So let's go to the next slide. And this actually sums up the entire sector of July, how did everybody else do? Well, again, so we've actually used our average hashrates here for ourselves and for all of our peers. And Anthony Power does a great job of doing these similar sorts of analysis. I encourage you to check him out. And so we actually take the average monthly hashrate for everybody because everybody has bought variable hashrate during these hot summer months. And again, you could see we did 138 Bitcoin per Exahash. There's some financial details on the right of this particular table, where you could see our multiple, HIVE is a great buy. We've got a very strong total position -- and again, 15 Bitcoin a day on average just shows consistent uptime and steady growth.
 Let's look at the next slide. So we talked about hashrate, but now I'm going to focus on the infrastructure aspect of the business. So right now, we are currently operating 130 megawatts globally. New Brunswick is at 60, Quebec is at 26. You could see all that information on the left. But actually, we have 144 megawatts completed. We've got 4 extra megawatts in Quebec and 10 extra megawatts in New Brunswick. What that means is HIVE has 14 megawatts of available infrastructure range for incoming shipments of ASIC, which we have contracted, and we'll get into that a little bit later.
 And we've got some optimizations and expansions within our existing sites, and that will get us to about 150 megawatts by fall. So HIVE is about measured growth, right? We don't want to overpromise and under-deliver. HIVE is about measured growth, hitting our targets, best efficiency and class best uptime. And so you could see today that we're at 130 megawatts of operating capacity.
 And so let's go to the next slide. So this helps to frame it because some of the legacy, what I call us is we're the legacy bulge bracket crypto miners. We were all the companies that went public back in 2017. And so in HIVE, we've got a phenomenal speed of legacy NVIDIA RX580 that are ROI 4x over. They've repaid themselves 4x over. And -- but we've also upgraded our ASIC and we've got the newer NVIDIA data center card. So what that means is when you have more efficient machines and the efficiency I'm talking about here now is in the Joules per Terahash, that means in the amount of megawatts that you're operating as a company, the more efficient your fleet, the more hashrate you're going to get. And of course, we know power prices in cents per kilowatt hour.
 So if you have less megawatts per hashrate than or, as we could say, it said differently, more petahash per megawatt, you are going to spend less energy for every hashrate you produce so a good way for the analysts out there to understand some of the legacy companies, how up to date is their fleet is simply look at the petahash per megawatt because all these companies, we've all got maybe a dozen different types of miners in our fleet as we bought them over the years. So you could take the total hashrate divided by the total megawatts, and you can see high leads to our Canadian peers at 29 petahash per megawatt.
 Let's look at the next slide. So great news. As mentioned, we've got 70 megawatts completed at New Brunswick, our fourth building is now complete. Here's some progress on construction photos from a few weeks ago. We could sort of see that final wall getting installed again, these photos are from a few weeks ago. So this is really exciting. Again, this is a civic grade infrastructure project. You see that massive pertaining wall. So this is a really beautiful site. And we've had some of the analysts, and we've had the CBC out to visit the site even the mayor. So it's quite a spectacle. It's a very beautiful super campus and it's now functionally complete at 70 megawatts, which is great news.  
 And on the next slide, here's a photo of our stronghold in Quebec, our Lachute campus. And what's -- so I talk about Joules per terahash and we're in the hashrate business, we convert energy into hashrate, that's great. So HIVE is the most efficient. We try to have the best uptime in doing that energy conversion. So we have great operating margins. What happens with the excess energy that turns into heat well. We're very cognized. We're an ESG-conscious crypto minor, and so everywhere we see an opportunity, we want to take this to the next level. And so what we've done, and this has been happening. As we all know, it gets very cold in Canada during the winter. The heat from our facility, it heats our Industrial Neighbor, they've got a very large warehouse to continue. Those are pipe act as conduits that channel the hot air from our data center into our neighborhood. That's actually a swimming pool manufacturer. So we're recycling heat here.
 So always being mindful about we're -- we use a lot of energy in this business.
 And on the next slide, -- you can see our concept in Sweden where we want to be the cucumber kings of Boden. And so it's about using -- creating greenhouses in Northern Europe where you can grow vegetables year around. And so we're very pleased and excited about the progress here. It's all about food sustainability. It's all about again, ESG-conscious crypto miner, it's very difficult to -- a, we're mining with all green energy and b, we're trying to get back to the community in any way we see an opportunity.
 So let's look at the next slide. So I'm going to give you guys a little bit of a market overview. We all know this last quarter, we saw the [indiscernible] prices bit to lows that we haven't seen since 2020. And indeed, this chart year trash -- I'm sorry, tracked the hash price. And so you could see the hash price were back down to about $0.10 a terahash a day, levels that we haven't seen  since fall of 2020, so we are approaching almost 2 year lows. And you take a step back and you think, okay, well, we've managed to navigate a very challenging time in the market.
 Now during our fiscal Q1 from April to June, those hash prices were sort of in the $0.10 to $0.20 range. But again, we came through in this quarter with a 62% gross mining margin. I think it was an amazing feat. But it's also important to understand what comes ahead, right? So as we see hashrate, we know that difficulty tends to drop, which we've seen happen a couple of times in the past couple of months. But more broadly, we can go to the next slide. We understand the impact it has on ASIC prices as a commodity, right? So any savvy crypto miner will tell you that they're always trying to get less than a 1-year ROI on their basic purchases. And so what happens when your hash price drops, your return -- your -- first of all, your cash flow from your mining operation for an ASIC, price is going to be less. And so what happens is people have to reprice because your CapEx on a dollar per terahash basis when you buy ASIC is the biggest determent of your ROI more over on your energy cost. And moreover on the efficiency of the machine.
 And so this chart shows you 3 classes of machines under 38 Joules of terahash, 30 to 68 and over 38 Joules of terahash. And really, what you could see is prices have dropped as much as about 60% to 70% since the highs that we saw in December. And so it's very important to time repurchases, not -- of course, don't buy during the high. HIVE didn't purchase machines in December and November of last year. We noticed a lot of our peers were rushing in. And that's why we're seeing very opportunistic buying opportunities. So HIVE is strategically studying our growth so we can always keep our cash flow return on invested capital in mind because that is a company that got to shareholders first, as we want to help our shareholders realize value by placing their faith with us. 
 And so on the next slide, just a quick reminder. Our Intel project is progressing nicely. Our second version of the prototype actually just shipping today. We've been testing our Gen 1 prototype and had some great results. we expect commercial quantities to arrive in September of this year. This is a photograph of a physical unit as well. So a very exciting time. HIVE strives to be first to market of all the proponents are participating in the Intel deal. Again, it's about being first to market, getting your machines hashing ASAP, you're earning that cash flow return on invested capital. 
 On to the next slide. And so this is our hashrate growth outlook. And again, this is measured growth, measured growth where we are focusing on working within the infrastructure that we have. Now again, we have that 14 extra megawatts ready for our monthly shipments to come in and methodically and growing with strong groups. So we're going to hit about a target of 4.6 Exahash by this December, and we're well on track to do that. We just received shipment recently some more micro BTs. So based on our allocations from last year. So everything is steady as she goes. 
 And so on that note, I will now turn it over to our Commander and Chief Executive Chairman, Frank Holmes, who is going to provide a macro overview of the market at large as well as some very interesting insights into how crypto is performing amongst other asset classes. Frank, over to you. 
Frank Holmes: Thank you, Darcy, and Aydin for those presentations. And I want to sort of -- and then do a recap, a macro recap of how we survived and are positioned to deal with other headwinds and challenges going forward. 
 Next, please. So it's so important to the leadership team. There's a picture of me, but really, it's people around me and how they're managing a portfolio, a suite of data centers that are in Sweden, that are in Iceland that are in Quebec and also in New Brunswick. Most companies have all their data centers and chips and mining away in 1 country, in particular, 1 state. So you just run into this inherent risk, but managing all these different countries and different issues is a bigger challenge. 
 But what's really important is that we've been able to deliver on a relative basis to our peers, I think, very attractive performance. Next, please.
 So there's -- there I am. We're first to go public, first to mine, Bitcoin, Ethereum. First to buy data centers and to be 100% with an ESG -- green ESG strategy and to be interlisted in Canada, U.S. and Germany. And I think that's the reason why this call, I'm in Europe visiting in Sweden, our facilities, and I was just in Switzerland talking to investors because we are interlisted.
 Next, please. HIVE uses 100% green energy in Canada, Iceland and Sweden. We have low electricity costs. We have low temperatures and fast Internet connections wherever we are. But what's really sort of interesting to me is that all of the crypto mining stocks fell on average last year, 71%. And they seem to cluster day in, day out on a relative basis that having a green footprint like we have doesn't really get much traction. In fact, as a Wall Street Journal story out that people sort of fed up with ESG. And for us, we're going to continue to have the sort of green thesis, but the value of that still has not shown up that I would expect that HIVE have a higher relative valuation to our peers. And let's see if this basket of securities, which trade by the hour off of Bitcoin price as we break out from that basket that whatever the hedge funds are that are using sort of quant approach. 
 Next, please. So that's our capital structure. As you know, that we did roll back the stock, and we have 82 million shares outstanding and you can see this sort of some important numbers that we think we have on a relative basis. We had the most shares outstanding, and now we're closer to that average. But more important is that when you're over $5 in the U.S, it's marginable, and there's other aspects that when you -- we just experienced this crypto winter. If you're a penny stocking at trading below was deemed $2 or $1, you can be delisted from NASDAQ. So I think it was an important move that we did before the big meltdown, which I'm going to talk about took place. Next, please. 
 I'm really proud of this team of Bill. When you take a look at Bill Gray our CTO, Aydin in there, Johanna, you have Darcy, you have Ian Mann, people and Gabriel in-house counsel looking at everything and managing so many moving parts in these different jurisdictions. And we suffered what's a brutal drop in crypto valuations from the high of 2021, it's hard to believe, but in a short period as interest rates start to rise in the U.S. and the U.S. dollar continued to be the strongest currency in climbing, crypto unravel and we saw a total drop of $2 trillion. But even during that period, we were able to still grow our revenue 13% year-over-year from when we got listed last year. Our digital assets are $71 million. They dropped because the crypto prices dropped, and Darcy commented on explaining how that impacts your portfolio was a mark-to-market. And you can see here that even with revenue being up, but overall, coin is being down, it did impact the net loss for $95 million, but our mining margins was strong. And we still produced $11 million of EBITDA. And that's really impressive because when you look at our peers, and particularly, the other Canadian mining companies, they didn't deliver as such strong cash flow on that relative basis. 
 And I really think it's our team. We're lucky with several strategies, which is important to have at all times and updating them every quarter, the equivalent of Bitcoin that we mined -- that's both the Bitcoin and Ethereum was 1,338, which is important for us being able to generate enough cash flow to continue our growth profile. 
 Next, please. So understanding this crypto winter, this contagion, I think that the collapse of the algorithmic stable coin Terra and Luna. And then you had this contagion effect, which is really significant because the liquidation of 3 Three Arrows Capital, which was a $10 billion Singaporean hedge fund. And what it showed you was the interconnection nature between all these different business strategies, and how they were growing. And also, so we -- and I've seen this before what they call shadow banking. And this is a big issue going back over 15 years ago in China, the prolific growth of these sort of shadow banks, where there's no regulatory, they're offering very high yields. And there's no discipline in their capital.
 So you have big as dollars being wiped up by Celsius, they cancel [indiscernible] to get their money. We had Voyager, another one that's been accused for soliciting people that they were FDIC insured. It's just not true. So you see this interconnection between all these events, and they happen very quickly, and it appeared to be a big wipeout in the month of June, in particular, and that did impact us, especially on mark-to-market. And those companies that have more Bitcoin than us would have a less mark-to-market impact and those who have less would be less. So it's important to recognize the implementation of this mark-to-market that took place a couple of years ago has added tremendous volatility. In fact, Warren Buffett had a net loss of $44 billion for Berkshire Hathaway, but his operating -- which he says, everyone should focus on your operating profits, they were $7 billion. But overall, the investments were gross number is down $51 billion, so net was off, I think, $44 billion. And that's similar issue happened with us when you look at, say, Berkshire Hathaway's portfolio, they have a diversified portfolio of public companies. We have predominantly some public companies, but mostly focused on investments in digital assets such as Bitcoin and Ethereum. 
 But this whole contagion, I believe is behind this. I also saw that the margin debt for stocks it also dropped dramatically as everyone is forced out and these stocks all got beaten up. And what's interesting for investors is that the crypto mining stocks that are very similar to gold stocks, and that is they track the price of gold. The only difference is that higher quality gold royalty companies get better traction, but the crypto mining as a group seemed to all trade very similar to each other, and it's really not sort of rational but we did see this contagion of the crypto winter, I don't think it's totally behind us. I think there's going to be more regulatory pronouncements. We're seeing now a push of the United Nations getting involved with that. So we'll see how it unfolds, but it's something that I'm proud to share with you that we made money every day from an operating point of view. 
 Internally, that's what we control. We don't control the external and we went down to making $150,000 a day and now that's grown. And we weathered lots of headwinds with volatility in energy prices in New Brunswick fortunate that our Swedish operations are hedged. So they were very attractive prices. We know that many other places around the world had shutdowns, heat waves or whatever the issues were, there were lots of setbacks in pronounced production, but the next slide, please. I was able to deliver the goods. And in terms of BTC production and Exahash, we took the crown and Aydin has spoken about this and he highly recommended people follow Anthony Power who I met several months ago in London. He's a retired [indiscernible] Following the crypto mining and making money on it. So we started publishing this sort of data, which is really -- it's interesting because it's unbiased, but I think it's just once again important to recognize how do we compare and then the net magic for you as investors is to compare HIVE to these other companies on a market cap and production. 
 Next, please. So you can see here that revenue over the last 4 quarters momentum is greatly impacted by Bitcoin pricing. And even though the prices came down, I thought that we held ourselves very, very well in our overall -- our production and our operating production because we've been increasing our Exahash as Aydin did a great job explaining to you. 
 Next, please. So Bitcoin mined by HIVE increased fourfold. I think that's really significant for investors to recognize, last year, we did an ATM for $100 million in a Bought Deal at roughly 30 -- over $30 a share. And that capital was very accretive. And we put a lot of Bitcoin and Ethereum on the balance sheet. And we also sold a fair amount in this past quarter of Ethereum to fund the Intel and the expansion and the continued expansion of our Bitcoin footprint. 
 Next, please. This is the visual I'm showing you how the assets grew from the same quarter last year. And the prices of Bitcoin Ethereum were off substantially, but we put a lot -- many more coins on the balance sheet. As you can see here, that Bitcoin is a much more significant impact. But it will hurt us on downdrafts vice versa, in a big surge, a Bitcoin on any quarter, it can add tremendously to our overall earnings.
 Next, please. So the next new headwind was once was the contagion was behind us, touch wood, as I like to say that the team was able to still be cash flow positive every day through this sort of contagion crisis. And now the next big one is the merge and what's taking place. And I want to recap here that the Ethereum itself has gone through before. And this idea of continuing to cryptomine, not go to proof of stake, which is the big merger and the Ethereum leading proof of work going to proof of stake, it has its own risks. 
 Going to proof of stake has a risk, it has to do with litigation against Ripple, has to do with the many regulatory issues around the world look at proof of stake as a security. So as POS is really proof of stake, and it has us embedded risk. So we have sold off and we mine every day, and we've been selling the Ethereum. We've had a big surge, 100% over these past couple of months, and this allowed us to continue to our growth profile, but there is a new coin coming out that was out the first of the fork to continue. We continue to mine Ethereum Classic. 
 And as you can see, that took place in July of 2016, and it's just not as big ecosystem. We couldn't turn 30 megawatts overnight into mining this without impacting its overall ecosystem, but we are -- we have a good position in it, and we believe that it will be a beneficiary if this merger goes through as expected, it is expected and has now come out today that that's going to happen in mid-September. September, 32 days away. And I believe in talking to other people in Europe, in particular, that it won't be a switch overnight, it will take several months before this sort of impact it would have on our mining. And so we have made -- we have plan B, C and D in managing this risk just like we've had to manage other risks. 
 Next, please. So I want to thank everyone for listening to the presentation, please keep in touch with us through social media, following us and the videos we put out. And so thank you. And thank you, Darcy, and thank you, Aydin, for excellent presentations. And from all the management, all the 20 employees we have and the consultants we have that helped us to be able to prosper and grow and look forward to growth in this industry. Thank you.